Omar Al Bayaty: Good evening to all the people connected. Welcome to the First Quarter 2025 Result Presentation. Enel CEO, Flavio Cattaneo will start with a quick highlight; and our CFO, Stefano De Angelis will present the economic and financial results for the quarter. We ask those connected to the webcast to send questions only via email at investor.relations@enel.com. Before we start, let me remind you that media is listening both the presentation and the Q&A session. Thank you. And now let me hand over to the CEO.
Flavio Cattaneo: Thank you Omar, welcome to everybody. I’m not used to comment the first result but after two years since my appointment I’d like to highlight some achievements. Some of these achievements are stock performance up by 33%, dividend paid amount to more than €9 billion, TSR stands at 52%. We have delivered seven quarters of growth, stable, organic and sustainable, reaching this quarter the highest result ever, obviously on a like-for-like basis. These are the result of clear managerial actions. We have been fast moving in reshaping capital allocation, adopting a no ideological and selective approach. We achieved efficiency in heavy countries, including developed ones. We reached already 60% on this 27th improved target. We have increased visibility on future evolution, reduced the exposure to macro volatility, with the EBITDA secured at 90% over the planned period. We have improved the quality of our customer base, focusing on the most valuable client, reducing financial and industrial risk. In addition, we have optimized capital structures and the Group is now financially stronger than in the past, ready to catch a value creative opportunity and implement the share buyback program already started in Spain. We have been the first mover also in the shift from greenfield to brownfield model, maintaining strict capital allocation criteria. Market opportunities are emerging now and with our strong financial flexibility, we are ready to capture them. We are now finally at the end in the right side of the market timing. We have sold when prices were high and now we are in the best position to catch any opportunities. And our strategic proposition enables value accretive asset swaps, optimize the risk return profile, reinforcing P&L and balance sheet and increasing profitability. We manage this company, as you know, with the same care and responsibility as it is our own. And as you know, I have personally invested in the company and now our interests are totally aligned. Moving on with a summary of delivery for the first quarter. Well, we’re continuing to deliver on the strategic pillars we are highlighted at the Capital Market Day. Our concrete approach drives solid and predictable result, both on operating KPIs and financial performance. Group’s profitability continues to be strong with both EBITDA and net income up 2% year-on-year. Group’s optimization on cash cost is visible also in this quarter due to the continued management focus on value accretive processes and services. Lastly, we’re progressing on sustainability, both financial and environmental, and this means a strong financial structure and a greener generation as the base with almost 70 gigawatts of emission-free capacity. We grow without perimeter effect or one-offs. As a consequence, reported and ordinary results now are aligned. This is true not only for this quarter, but also for the coming ones. And on this visibility, I confirm 2025 guidance. Further, we stabilize results and raise the bar with a full year EBITDA target 30% higher versus the result of 2022. Now I will hand over to Stefano to comment the fourth quarter result.
Stefano De Angelis: Thank you, Flavio, and welcome to everybody. I’m going to start with a quick overview on how our business is secured against current volatility and geopolitical turmoil. On investment, I would like to highlight that quarter deployment reflects capital allocation guidance already set in our industrial plan. Most of the capitals were deployed in networks, mainly in Italy, on projects already approved aimed at increasing resilience and quality. In terms of geographical mix, most of the CapEx is deployed in A-rated countries, where we have an integrated presence with Italy and Iberia accounting for 80% and no exposure to the tariff issues. Looking at the plan and exposure to the present turmoil on tariffs, on network, we have framework agreements in place and limited portion of investments associated with equipment costs outside Europe and zero from U.S. Furthermore, regulatory frameworks naturally protect against inflation and cost increase. On additional renewable capacity, from one side, you may see how the greenfield project was already squeezed, limiting exposure at the present uncertainties on multiple variables, and how this brought a significant CapEx slowdown debt, on the other side, was used to finance the Spanish Hydro Brownfield acquisition. Out of the €43 billion investment, only 5% was set to be allocated to U.S., where no capacity was planned to be added in 2025. Heavy anticipated most of our COD dates of assets under construction to avoid the expected volatility driven by the political scenario. Moreover, we are aware since the last year that this global scenario could present unprecedented brownfield asset opportunities. A concrete and ready to pay out pipeline explored leveraging on our business development and M&A capabilities empowered by our unique financial strength and capital allocation flexibility. Let’s now move on the performance of the Group. EBITDA reached around €6 billion Q1, up by €100 million on a like-for-like basis. From a geographical perspective, the main moving parts of the performance were as follows. In Spain, EBITDA increased by around €100 million, mainly thanks to the strong record in the integrated business that benefited from higher production and an improved integrated energy management, now supporting a commercial proposition focused on value instead of volume. North America performed strongly year-on-year, driven by the positive contribution from the 1.1 gigawatt of new capacity installed in 2024. Latin America, on a like-for-like basis, proved flat year-on-year. It is worth to highlight that the performance was affected by the negative impact linked to currencies devaluation, especially for the Brazilian real, worth around €80 million. Excluding this impact, EBITDA would have increased by €100 million versus Q1 2024, now extending the perimeter effect. Finally, the result in Italy is still impacted on a year-on-year comparison by the completion of the Retail repositioning. Prices are now 30% to 40% lower than last year, with customer reposition at tariff in line with current macro scenario. As a result, monthly churn rate halved versus 2024, showing positive returns on our effort of improving customers’ engagement and loyalty. I would like to stress that for the rest of the year, we expect now a linear evolution of the EBITDA in Italy, standing at around €2.7 billion on average per quarter, in line with the second part of last year. On the next slide, we will discuss about our capital allocation and how it is improving Group’s operating KPIs. I’m on Page 7. The 70-gigawatt non-emitting capacity resulted in 1-terawatt-hour growth of CO2 free generation and an emission-free production that reached 84% on total, supporting our financial delivery take also to a reshaped energy management process. In our domestic market, churn reverted its trend and in the supply business, we added 100,000 customers versus last year. Along 2024, we assessed our customer portfolio. We are now focusing soundly the most valuable segments. As a consequence, some contracts with high level of contracted volumes but low marginality sales have not been addressed, while we recorded an increase in B2C and small media enterprise segment, reducing also our exposure to commercial and financial risks. Last but not least, the higher investment deployed on Grids boosted the value of our regulated asset base, which now is reaching €46 billion. The solid operating delivery resulted in a visible and concrete financial result that we described on Page 8 of the presentation. EBITDA reached almost €6 billion, driven by stronger performance in Grids in Italy and higher results in the integrated business in Spain and the rest of the world. Net income came in at €2 billion, increasing by 2% on a like-for-like perimeter basis. Worth to remind that at the bottomline, the perimeter effect takes into account also the disposal of Slovenské Elektrárne as EPH exercised the call option at the end of 2024. Net debt on EBITDA ratio decreased to 2.5 times versus the 2.7 times of last year, on the back of an improved profitability from business operation and the 2024 delivered task completion. I will now focus on the evolution of each business, starting from Grids. Grids EBITDA reached almost €2.2 billion in the quarter, increasing by 4%. We delivered another quarter of solid performance in Italy, up by more than €100 million, thanks to the higher CapEx deployed and the positive impact linked with the implementation of the new remuneration framework, more than offsetting the slight work reduction in second part of 2024. Spain proved flat. On top of the ordinary business execution, we maintain our focus on the new regulatory framework outcomes, crucial to improve the network resiliency, increase investments and improve returns in the country. Finally, LatAm EBITDA was almost flat on a like-for-like basis, as the positive contribution of distributed energy volumes and tariff indexation offset the negative impact related to CPI and local currencies devaluation. Now we move to the evolution of the integrated business on Slide 11, sorry, Slide 10. Integrated business EBITDA stood at €3.8 billion. On a like-for-like basis, renewables increased by €100 million versus previous years. Thanks to the positive contribution for new capacity added, that more than offset the impact from slightly lower resources availability. Flexible generation commodity management was broadly flat year-on-year with a consistent trend of normalization in Thermal Generation output. Finally, Retail EBITDA performance reflected the already mentioned customer base reposition in Italy partially offset by positive delivery in Spain. It’s worth to highlight, as I said before, that we expect a linear evolution of the performance over the course of 2025. And now we provide on next page an energy management energy strategy update related to Italy. As already highlighted in full year 2024 presentation, we move from a commodity volume driven approach to an end-to-end integrated process, maximizing the resources allocated in the entire value chain with a new approach and focus on our large and resilient residential and small-medium business customer base. Renewable generation is now naturally matched with the Retail sales, while financial prejudges are a lever to add incremental value and optionality to our generation fleet. As you can see from the chart, on the 2025 sales side, we have priced almost all the customers contracted with fixed price offering. And we are progressing in confirming or adjusting tariff condition for 2026 and 2027 contracted volumes. Looking at the generation, 2025 is consequently fully hedged at prices in line with plan assumption, while for 2026 and 2027, we already hedged the planned generation for almost 90% and around 35%, respectively. Worth to highlight that almost 100% of generation is covered by contracted customers with fixed price condition already set. They are repricing that the expiration date is an actionable option to align price condition according to significant change in the market scenario that may be in the two directions. As of today, the generation average contracted price for 2026 is €112 for megawatt hour, compliant with the planned scenario that is at €112. And now move to earnings evolution on Page 12. Ordinary net income came in at €2 billion. D&A is like increased versus previous year, driven by higher amortization on increasing level of CapEx deployed over the year. Financial expenses are up by around €60 million at profit and loss level, on the back of the following dynamics. The declining charges on debt mainly driven by the €5 billion reduction in gross debt as compared to Q1 2024, we have executed the disposal plan and recorded a reduction in financial receivables, mainly associated with the €1 billion repayment of the shareholder loan from EPH occurred in January this year. A lower contribution from associates, mainly due to the solid performance of Slovenské Elektrárne recorded in 2024. Worth to highlight that this represented a non-cash item having dividend distribution constraints in Slovenské arising from the debt covenants of the company. Income taxes are almost in line with previous year, while minorities stood at around €400 million, almost stable versus previous year, as a result of the lower dilution from disposed assets that offset the impact from the partnership business model implementation. Finally, it’s worth to highlight that reported net income stood at €2 billion in line with the ordinary net income and increasing 10% on a like-for-like base. Let’s now move on this slide related to the FFO. Group cash generation continued to be strong, with an FFO standing at €4.5 billion, once adjusted for the impact of payable change related to CapEx deployed in the recent months, and the one-off related to the payment of Italian club bad debt, as you probably remember, was accrued in Italy in the first half of 2023. Cash generating in Q1 more than covered the deployment of organic CapEx, as well as the acquisition of Hydro assets in Spain, with FFO minus CapEx being positive for plus €1 billion. The main operating accounting items that impacted net debt are the following. CapEx [ph] was positive for around €1 billion, as in January we issued a new hybrid bond for €2 billion, and in February we repaid €900 million, sorry, CapEx that were already refinanced in 2024. Non-operating cash items related to the club bed in Italy, already mentioned, and the Eletropaulo pension fund repayment in Brazil, and non-cash accounting items related to the temporary FX impacts on debt, hedging derivatives and IFRS leasing accounting practice. As you know, we have in all the quarter and the full year this kind of impacts, non-cash. Finally, and this is cash, dividends amounted to €2.5 billion, as we paid the interim dividend of the holding in January. As a consequence, they came in at around €56 billion, almost in line with the year-end 2024. Let’s now finalize the presentation with some closing remarks. The economic and financial results recorded in Q1 are solid and based on an organic and recurring performance of the company asset base. This provides visibility also for the coming quarters, for which the trajectory observed in the first three months is set to persist. We will continue to lever on the financial flexibility achieved to optimize the capital allocation deployment in the next quarters, supported by both brownfield and greenfield pipelines, in line with our strategic guidelines. The visibility we have on the underlying evolution of the business strongly supports our target for the year. This implies also an appealing shareholder remuneration in light of both the current dividend policy, which foresees a structural and organic positive trajectory and the new share buyback program that will be proposed on May 22 to the General Shareholding Meeting.
A - Omar Al Bayaty: Thank you, Stefano. Let’s now open the Q&A session. We receive a lot of questions for the call. We have summarized them by topics. First topic, balance sheet re-leveraging opportunities. How would you deploy capital amongst organic growth, share buyback and asset acquisitions?
Stefano De Angelis: Our main focus is on industrial plan execution, which, as already mentioned in the presentation, is 90% secured and built on a base case scenario. The flexibility we currently consider is set in the €10 billion size. While in terms of priority, I would say that the first option is additional organic growth, mainly on network, as we are focused on the concession renewal, both in Italy and Brazil. In Italy in particular, the discussion ongoing of the anticipated renewal of the concession will size the potential additional investments. Furthermore, we have room and positive attitude to increase CapEx in Spain, but only if regulation will be as expected supportive. Finally, we are looking at opportunities to grow via brownfield asset in renewables, focusing on A-rated countries where we have an integrated presence with short position on fixed sales and/or we’ll say, asset with solid coverage through long-term PPAs and regulated off-taker. A second option, there is the clearly the buyback program we are going to present in the General Shareholders Meeting.
Omar Al Bayaty: Thank you, Stefano. Do you see growing opportunities to accelerate organic growing grids in Italy and Spain?
Stefano De Angelis: In Italy, there is a very supportive regulatory framework. We say that distinct by two years and this is a very strong positive point on our delivery. The short-term driver for incremental capital allocation, I would say, is the renewal fee magnitude because, as everybody can see, the level of CapEx has been elevated in the last two years. This renewal fee magnitude will clearly generate also a positive impact on profit in the long-term associated with its recognition into the revenue -- regulated asset base. We are also ready to exploit the valuable and visible additional opportunity in the integrated business in both regulated and retail integrated power sourcing. Regarding to Spain, the focus on growth, I would say, that is concentrated on networks, always depending on the level of remuneration that will be set by the next regulatory framework.
Omar Al Bayaty: Thank you. Now, let’s move on renewables. Is there the possibility to start increase a bit investments? It seems the deployment is lagging behind schedule.
Stefano De Angelis: We are on track on the schedule additional capacity. We confirm the target of 3.6-gigawatts for this year. As commented in the presentation, the organic pipeline for a newer capacity has already been optimized, limiting exposure to current uncertainties on multiple variables and leveraging on the brownfield opportunities that, on the other side, the current global scenario may offer to the company.
Omar Al Bayaty: Thank you, Stefano. Now, distribution concession. Could you please provide more details on the process for distribution concession renewal in Italy? What are the steps still to be accomplished?
Stefano De Angelis: So far, there is no relevant updates on the product -- on the process, but this is not the bad news. This is the normal ongoing discussion that now is focused on technical and operational procedures and criteria. So far, we say there is no issue in terms of scheduled activities that target the 180 days for the definition of the condition. This timing is scheduled by the legal framework, so it’s not on us. But again, we are not observing any particular difficulties in the discussion or in the framework at the moment.
Omar Al Bayaty: Thank you, Stefano. About share buyback, any news about the launch of the share buyback?
Stefano De Angelis: Yes. We are doing the share buyback. Let’s say, generally speaking, the share buyback we have already mentioned last year now is one of the actionable value creation levels, we want to have along our three years plan execution. The Spanish share buyback has already started, is under execution for the first tranche. The Italian, let me say the Italian, the Enel SpA program will be, let’s hope, approved by the AGM on May 22. But starting from that day, we will update you on the execution and the magnitude also of the Enel SpA share buyback.
Omar Al Bayaty: Thank you. What’s the long-term role of emerging markets in your portfolio?
Stefano De Angelis: In emerging markets now our focus is to restore and extract the potential value from our asset portfolio. Let’s say also further rationalize some adjacent non-profitable activities like we execute the same, let’s say, rationalization in the U.S., for example. But again, our focus now is to restore and add more value to our existing asset portfolio.
Omar Al Bayaty: Thank you. Do you expect any impact from the new policies in the U.S.?
Stefano De Angelis: Well, yeah, we already showed the presentation. I would say that is negligible, let’s say, in this way. Again, this is not based on expectation, but because our capital allocation renewal, we already, there is, considering that for 2025, we have zero capacity addition in the U.S. But at the same time, we -- as I already said several times, we are leveraging on brownfield asset opportunity to enhance our profitability in the medium- and long-term. I want to remind that the EBITDA contribution from North America represents only 5% of the total EBITDA of the Group. And let’s say the most of the existing production in the country is made by long-term PPA. Keep in mind that like for Italy in the Hydro, we maintain a buffer of capacity, but this is to secure our PPA, for example, variability performance GPIs. So our exposure to this kind of risk is close to zero. I hope that this would become soon a trend topic that we forget and move back our focus on the ordinary execution of the industrial plan.
Omar Al Bayaty: Thank you, Stefano. First quarter figures look strong. Are they underlying a bit to full year guidance? Can you provide the building block by region?
Stefano De Angelis: I’d say too early in this scenario, but, so not a bit, but a strong delivery support for sure our full year guidance that we are very confident about. About the building blocks, as always, I start from the performance of the first quarter from the €6 billion already in our books. Then I had €12 billion for Europe activities where Italy is about two-thirds. Clearly, there is -- I barely go over the remaining parts. The key drivers of this performance of this trend is the normalization of commodities hedging dynamics in line with the seasonality of the business. A further slight reduction in Retail business in Italy, but driven not by the already discussed normalization that is completed and we will start to compare in the second quarter with an already comparable base, let’s say, but the slight reduction is driven by the power and gas consumption seasonality. Customer base, as I say, has now been repositioned. And Generation and Retail volumes are 100%, let’s say, 95% priced and contracted. Finally, networks are expected to have a linear evolution in the coming quarters, confirming the positive trend that we observe by 18 months. Rest of the world, meaning U.S., America, let’s say, in this way, is expected to contribute for around €5 billion where we see a better performance coming up from Latin American Grids adding up to the organic inertial deployment of the remaining business activities.
Omar Al Bayaty: Thank you, Stefano. Let’s move to Hydro. So, the output in the first quarter looks almost in line with last year in Italy and Spain. What should we expect for the future?
Stefano De Angelis: Let’s say this year we expect, we are observing, let me say, you know that I am Italian, so in Italy it’s tough for us to say we expect positive something. No, but let me say the Hydro production that we expect is in line with the start, let’s say, historical average, not to be so optimistic because it’s, again, very difficult for us in Italy to be optimistic on a projection that depends from weather events on something that is not in our control, but I’m joking. No, let me say, in line with the historical trend, we’re moving to some of the building blocks. We -- You know that we have an issue in the second part of last year in Colombia. In Colombia, this is important, we have a positive Hydro production. That is, we come back to the Italian behavior. Until today, we see the forecast pointing to a weak La Niña phenomenon. For the rest of Latin America, we see again, let me say, a normal production level that is completely in line with our business plan expectation.
Omar Al Bayaty: Thank you, Stefano. Let’s move on Retail. What’s the current level of churn rate both in Italy and Spain?
Stefano De Angelis: In Italy, we expect a reduction of the churn compared to last year, even if the competitive environment is still tough. But the improvement is driven by the consolidation of the present performance. So the improvement would be driven by several months that we expect that can really confirm the churn, I have already mentioned in the presentation, that will compare with the deteriorating trend that we unfortunately face along 2024. And this is the reason why we have to reposition a huge amount of customers along 2024. But again, this activity was performed and executed until the end of 2024. So now we are, let me say, in a different shape. When we move to Spain, to Endesa, the competition also in Spain is strong and we are observing a growing churn in the world market. This is not just affecting Endesa. That’s why we believe that the selective actions via customer value management and customer redemption activities, innovation and offering differentiation could support our expected performance. But to give you another different angle, we get about value, we get about revenue market share and value creation. And that’s why we are avoiding customer segments and their related sales channels with very high structural early churn that are generating a so-called washing machine effect on customers. Don’t forget that this has a relevant cost to acquire associated.
Omar Al Bayaty: Thank you, Stefano. One more on Retail. Are you observing an increasing competition in European markets?
Stefano De Angelis: The competition in European markets also depends on the model that was adopted for the market liberalization and the consequent entry of new players that is creating, has created and now is continuing to create a more competitive space that allows new international operators to enter into the market, having flexible and digital retail models that are emerging also in the energy business, in the power business. Our response is not on basic promotion with limited duration, that is what you find in hundreds of websites, but is based, we are trying to differentiate on this by two years, in innovate also on pricing structure and services aiming to become something different, I would say, a multi-platform service provided that can create and establish a loyal relation with the customers, again not just based on promotions with the duration that is clearly limited and boosting the washing machine effect that I have already discussed.
Omar Al Bayaty: Thank you. Are you comfortable with the target 2025 EBITDA for Retail in Italy?
Stefano De Angelis: Yes. We have also put the number, the figure in the presentation, so I would say, yes, absolutely, yes. And again, this is, let me say, we have around €700 million per quarter, but what is the most important element to be confident with this performance? Again, we have a customer base that is for 2025 fully contracted and fully priced, so there could be some change in the average usage of the customers, but again, let me say that this part of the result is strongly secured by existing contract with the defined pricing structures.
Omar Al Bayaty: We have one question on Thermal Generation. Thermal Generation and Trading is still strong despite the decrease in thermal volumes. What is driving the performance?
Stefano De Angelis: But this cluster, that is the Thermal Generation and Trading performance, include also profits coming from the hedges on commodity portfolio and our wholesales -- relevant wholesale activities. As every year, this scenario translates into better performance. I already mentioned this in another point of the presentation and in the Q&A. Better performance in Q1, this happened also in 2024, as you may remember, and a normalization of the contribution in the following quarters. But again, nothing in terms of one-off of discontinued trends or something strange.
Omar Al Bayaty: Thank you, Stefano. One question on FX impact expected. Could you please provide a sensitivity on FX compared to the guidance for the full year?
Stefano De Angelis: At this point, the impact we expect is limited, I would say, in terms of magnitude and impact on the consolidated result, but this is because the weight of the non-euro regions in the consolidated results is limited. Three months has already passed. I would say five months or less. So, to give you a figure, if we run a sensitivity to the plan assumption of having a 5% evaluation or revaluation of U.S. dollar and Brazilian real, we would have an impact of only 1% on both EBITDA and net income. But again, this is not because it’s not something that is out of our monitoring, but because we rely on a very significant contribution coming from Europe and from Italy and Spain in terms of profits at EBITDA and net income level.
Omar Al Bayaty: Thank you, Stefano. I think we covered all the main topics. So, the Q&A session is over. If something is missing, the IR team is available for follow-up after the call. Thank you, everybody.
Stefano De Angelis: Thank you.